Operator: Good morning. My name is Lupita and I will be yourconference operator today.  At this timeI would like to welcome everyone to the Nordson Corporation fourth quarterfiscal year 2007 results.  (OperatorInstructions)  Mr. Jaye  you may begin your conference.
James R. Jaye: Good morning.  This isJim Jaye, Director of Corporate Communications along with Ed Campbell ourChairman and Chief Executive Officer; Peter Hellman, President, Chief Financialand Administrative Officer and Greg Thaxton, Vice President andController.  We would like to welcome youto our conference all today, Wednesday, December 19, 2007 on Nordson’s fourthquarter and fiscal 2007 results.  Ourconference call is being broadcast live on our webpage at www.Nordson.com andwill be available for 14 days.  Therewill be a telephone reply of our conference call available until Midnight,Friday, January 4th by calling 1-800-642-1687.  You will need to reference ID #26929529. Our attorneys have requested that we open this call with acautionary statement under the Safe Harbor Provisions of the Private SecuritiesLitigation Reform Act of 1995.  Duringthis conference call forward-looking statements may be made regarding our futureperformance based on Nordson’s current expectations.  These statements may involve a number ofrisks, uncertainties and other factors as discussed in the company’s filingswith the securities and exchange commission that could cause actual results todiffer. After our remarks we will have a question and answersession. I would now like to turn the call over to Ed Campbell for an overviewof our fourth quarter and fiscal 2007 results and Nordson’s futureoutlook.  Ed?
Edward P. Campbell: Thank you Jim and good morning to all of you and thank youfor attending Nordson’s conference call discussing our fourth quarter 2007results.  We had a very strong fourthquarter generating record sales of $290.8 million, up 20.4% from the prior yearand a record for any quarter. Acquisitions added 11.6% to sales while core volume increased 4.4%.  In addition, currency added 4.4%. All segments contributed solid volume growth in thequarter.  The advanced technologiessystem segment supported the sales line gain of 38.7% reflecting the impact ofacquisitions.  Excluding acquisitions,volume in this segment was down 6.4%. The adhesive dispensing system segment showed a volume increase of 9.5%and the industrial coating and automotive system segment achieved a sales lineincrease of 5.2%. Fourth quarter sales volume was up in all geographic marketswith the Americasrising 26.5%.  Japanvolume was up 22.0%.  Asia Pacific was up16.4%.  Europe volume increased 15.9% andthe United Statesincreased 11.9%.  The overall grossmargin rate in the quarter was 54.9%. This margin rate was impacted by sales mix with a large volume ofengineered systems shipping in the quarter. In addition, short term inventory purchase accounting for acquiredinventory also impacted gross margins in the quarter. Spending was up 13.4% resulting from volume increases of10.2% driven primarily by acquisitions and currency which added 3.2% tospending.  Operating profit net ofcharges associated with purchase accounting was 16.7% of sales and grew 17%from the prior year.  Our interestexpense was up $3.6 million in the quarter reflecting the use of debt tofinance the four acquisitions completed this year. Our effective tax rate for the quarter was 33.0% versus24.0% last year.  The prior year rateinclude a certain non-recurring tax benefit. Nordson’s net income for the quarter was $29.6 million versus $29.5million from continuing operations last year and $27.8 million overall.  Fully diluted EPS was $0.87, prior year’sreported EPS was $0.87 from continuing operations and $0.82 includingdiscontinued operations. Two items [masked] excellent earnings performance in thecurrent quarter.  First, is the lowereffective tax rate in 2006 due to non-recurring tax benefits and a second is a$0.01 per share short term negative effect of purchase accounting for acquiredinventory.  Applying the current yeareffective tax rate to the prior year quarter results from continuing operationsand adjusting for the current quarter purchase accounting charge for acquiredinventory, EPS from continuing operations increased 15.8% in the quarter overthe prior year. Cash related measures reflected good performance in thequarter.  The current quarter’s EBITDAwas $57.5 million, a 22% increase over last year’s $47.2 million.  Our operating cash flow for the quartercontinued to be relatively strong. Specific cash flow items in addition to net income of $29.6 million werenon-cash charges of $10.8 million and working capital which generated $4.9million in the quarter resulting in cash from operations of $45.3 million.  Capital expenditures in the quarter were $5million and dividends were $5.9 million resulting in pre-cash flow of $34.4million in the quarter. Our debt leverage measured as debt to total capital endedthe quarter at 39.5% or 37% if debt net of cash is used in thecalculation.  Despite having investedover $325 million in four acquisitions we finished the year with less than 40%debt-to-capital. In summary, we had a very strong finish to the year.  I am pleased with the strong sales volumegrowth achieved by each of our segments as well as the 17% increase inoperating profit quarter-to-quarter.  Ouracquisitions without the impact of short term purchase accounting adjustmentsare accretive to results in the quarter and we believe we have additionalsynergies to leverage.  In addition, wecontinue to see significant improvements in the financial performance of ourindustrial coatings and automotive segment with operating profit margins of9.6% for the year versus 5.9% for fiscal year 2006. While still not operating at the level we desire, theresults today have demonstrated the turnaround that we have planned.  On a full year basis we received record sales$993.6 million with a strong second half to the year.  For the year, sales were up 11.4% with volumeincreasing 8.0% and favorable currency adding 3.4%.  Fully diluted EPS for the year is $2.65 ascompared to prior year’s $2.86 from continuing operations and $2.65 includingdiscontinued operations.  As with fourthquarter results, the full year EPS performance as compared to the prior year isimpacted by two non-recurring items.  Thefirst, is a $0.16 per share in the current year for short term purchaseaccounting charges associated with acquired inventory.  The second is the low 2006 effective tax ratewhich resulted from certain non-recurring tax benefits.  Applying the current year effective tax rateto prior year’s results and adding the $0.16 per share to current year’sreported results full year earnings per share increased 5.2% over prior year’sEPS from continuing operations. The full year’s EBITDA was $183.7 million up 8%over the prior year’s $169.9 million. Let me now turn to some brief comments about our outlook forthe first quarter of 2008.  The back logat year end was approximately $98 million up $26 million from the same periodof the prior year measured in constant currency.  Recent demand as measured by orders has shownconsiderable strength.  Orders for thelast 12 weeks ending December 9th ending in constant currency andincluding acquisitions in both this year and last year’s numbers were up 12%from the same period in the prior year. Recent orders by segment reflect that the past 12 week order ratesversus a year ago are up 19% in adhesives, up 10% in advance technologies and1% in industrial coating and automotive. Within advanced technologies I will note that orders withoutacquisitions are up 5% during this 12 week period.  This growth rate of 5% compares to a declineof 8% announced during our second quarter conference and growth of 1% announcedduring our third quarter conference call. And again, including the acquisitions in both this year’s and lastyear’s figures improves the 5% year-on-year growth rate to 10%.  We are clearly seeing improving order trendsin these advanced technologies businesses. On a geographic basis, orders over the past 12 weeks were upin all geographies.  Orders were up 44%in Asia Pacific, up 14% in Europe, up 3% in the United States and up 2% in both the Americasand Japan.  This perspective on order rates and ourstrong back log we currently have a sales outlook in terms of volume of anincrease of 16 to 20% in the first quarter of 2008.  Favorable currency effects should contribute a5% increase in year-to-year sales resulting in an overall sales growth of 21 to25% in the quarter.  This sales outlookwould be a record for any first quarter. Given the mix of products we should see gross margins around56%.  Spending in the quarter will be upapproximately 17% with the majority related to acquisitions and currencyaffects.  Included in the spending growthis geographic expansion of acquired businesses as well as continued investmentin growth market opportunities.  We areestimating a tax rate of 34.75% for the quarter and indeed for the full year,up slightly from the prior year’s first quarter rate of 33.47%.  This outlook results in earnings per sharefor the first quarter in the $0.55 to $0.64 range.  Earnings in this range would represent recordearnings per share for any first quarter with the $0.60 per share midpoint ofthis range 30% higher than the prior year’s first quarter earnings per share. Regarding cash flow, let me provide an outlook capitalexpenditures for the year.  As commentedlast year we have begun our efforts to realign our facilities footprint andtherefore you may see some lumpiness in quarters due to the timing of buildingrelated spend versus proceeds from sales. For the year we would expect operating capital expenditures that isexcluding any real estate investments to be about $21 million. With that let me know turn to your questions.  Operator, if you could now solicit questionsfrom the participants.
Operator: (Operator Instructions) Your first question comes from theline of John Franzreb with Sidoti & Company
John Franzreb -Sidoti & Company: The first question is pretty much about the acquisitionsover the past year.  Could you discusstheir relative performance versus your expectations?  Also, can you talk a little bit about the [inaudible]we should be expecting in these businesses?
Edward P. Campbell: First of all, in terms of expectations, these werebusinesses that we acquired based on the strength of their market positions andthe strength of the products and technologies they’re bringing to thecompany.  Let me start by sayingeverything that we expected to find in these businesses is there.  It’s validated our assumptions and we feelvery positive about the strength of our portfolio of products and marketpositions that they brought to us.  Ican’t necessarily go through each one individually but, I would say that theperformance has ranged from strong acceleration during the period of time thatwe’ve owned them and immediate realization of opportunities to sell some ofthese products in other segments or product lines of the organization incertain cases.  To others having somesoftening or deceleration but continued growth as a result of some of the samefactors that we’ve seen in the other portions of our advance technologiessegments. I guess one point I would make to reiterate the kind ofuplift they’re providing to us.  Imentioned that the orders in the most recent 12 weeks were the advancedtechnologies segment was 5% year-over-year if you just look at Nordson’s corebusinesses.  But, when you average in thegrowth rate this year over the newly acquired business they bring up thataverage from 5% to 10%.  These arebusinesses that are making us better as a segment, making us better as acorporation.
John Franzreb -Sidoti & Company: How should we think about the [inaudible] in the businessesnow?
Edward P. Campbell: Of the four businesses let me briefly go through them.  Dage is a test inspection company that iscentered on semiconductor assembly primarily. It would move similarly to the Asymtek business and general notation inthat it is dependent upon the rate of investment in semiconductor capitalequipment but greatly fueled by new technologies and evolving trends in leadfree solders and ever small packages where there is a shift if you will in theneed for these customers to move to the new products and accelerate investmentfrom what might otherwise be in the trend line. The YEStech is one that would disproportionately sell into electronicassembly markets as compared to semiconductor markets and so it would move withspending for consumer electronics and the like and it’s cycle would be, if youwill, slightly off and different from that. Our PICO business on the other hand is one that sells precisiondispensing equipment and it is a seller of products that range everything fromproducers of consumable non-durable products to general industrial assembly tosome of the same markets that our other advanced technologies businesses sellinto and it’s one that we think [inaudible] far less [inaudible].  Then lastly, TAH Industries, a company weacquired in the fourth quarter sells plastic disposable components.  It sells into broad assembly markets.  It sells into the life science markets, itsells into aviation and construction markets as well.  It would have very different cycles thanwould these other businesses.  It would tendto flatten some of the [inaudible] that we would more generally associate withthe electronic and semiconductor market.
John Franzreb -Sidoti & Company: In a semi related question, the order growth in theindustrial segment was 1% if I heard you correctly in the previous 12weeks?  You mentioned in previousconference calls that you have businesses that are late cycle businesses.  Can you kind of address what your outlook isand what your thoughts are for some of the later cycle businesses is as weenter into 2008?
Edward P. Campbell: First of all, in terms of the 1% industrial coating andautomotive, as I mentioned last quarter that business has had some impact ofcapital spending with the automotive industry. That is part of that segment beginning about six months ago.  I’d also mention they had a very strongcomparable – right around this same time a year ago we had a very strong groupof orders.  12 months ago their orderswere up 10%, their shipments were up 11% before currency effects and so some ofthat I think is influencing the numbers you see there.  As we shared with you our outlook for salesvolume in the first quarter, volume from our traditional businesses iscontinuing quite strong, accelerating in fact from what we had in the fourthquarter and all of 2007.  Within that weexpect to see quite good volume continuing in industrial coating andautomotive.  I’m not in any waypessimistic about the kind of year they’re going to have. In terms of other back cycle businesses or the things thatpeople have been concerned about, I know for example, housing is one that hascome up in questions in prior conference calls. The portion of our business that is most directly related to those endmarkets is within the adhesive segment and that business is very strong.  We’re seeing globally sales of our systems tomanufacturers of products that would find their way into the housing market upover 20% in terms of orders globally and up high single digits in the USso, we have technology that is driving very good performance right now.
Operator: Your next question comes from the line Charlie Brady withBMO Capital Markets.
Charles Brady: Ed, can you just give us the 12 – the order rate for thepast 12 weeks you said was 12%.  What isthat just on an organic basis ax out all the acquisitions.
Edward P. Campbell: That includes the acquisitions in last year’s numbers andthis year’s numbers.  Frankly, the way welook at it this year in 2008 now is they’re part of the core base ofbusinesses. Yes, they’re adding to growth rate as I mentioned the 5% in advancetech without the acquisitions 10% overall. Of course, the other businesses are completely devoid of anyacquisitions so 19% is a currency free straight core comparison for adhesivesand correspondingly the 1% has no acquisition effects there.
Charles Brady: Can you comment on the powder coat businesses?  How is that business fairing these days?
Edward P. Campbell: The powder business has pockets in this particular quarterof tremendous strength particularly in the Asian markets were we see majormanufacturing investments.  It has beenstrong throughout 2007.  It is, I willtell you right now, in the USless strong.  Our sales leadership in theUS region feelspositive about the kind of year they’re going to have based upon the indicatorsthey get from customers.  But, imbeddedin that 1% is strong in Asia, less strong in North America.
Charles Brady: On a geographic base are there any of the businesses thatare out performing significantly in one geographic area or another?  Or, the opposite of that really underperforming or softening in one geographic area or another?  You obviously mentioned the powder coatbusiness but I was wondering if you could extend that out to some of the otherbusinesses.
Edward P. Campbell: Well, I will.  Let metalk for example about Asia Pacific, for example. In Asia Pacific I mentionedon a currency neutral basis orders right now were up 44%.  That’s a tremendous number.  Our industrial coating and automotivebusiness right now is more than doubled a year ago in that part of theworld.  But, also significant in that isI had mentioned in the conference calls three and six months ago that we hadseen weakness in Asia Pacific in our advanced technologies business becausethose were areas where some of the investment had been curtailed during some ofthe typical slow down that we’d seen last year. Our orders now in Asia Pacific for advanced technologies were up40%.  We see very good growth there.  I guess just to finish the three segmentsadhesive system orders in Asia Pacific are up 28%.  Asia is red hot acrossall three segments. I will answer a question that hasn’t been asked but I thinkit’s a point worth noting.  Within theadhesive segment 19%, a question that might be asked is well, is that focusedin one geography and one line of business? The answer is not.  We have a verystrong pattern of orders right now that runs across our product assembly ournon-wovens other of the product lines that we sell out of that segment and it’sdemonstrating strength not just in Asia as I mentionedbut also we’re seeing it in the other geographies right now.  A very strong momentum coupled with very goodcurrency as you will see as you look at the table on the earnings release.
Peter S. Hellman: I would just like to add the kind of implication Charlie youmade and also going back to John’s question. Late cycle business is somewhat being trumped by geographicelements.  If you think of Asia Pacificas capitalization or recapitalization and the fact that we have 15% of oursales in Asia Pacific with only 30% of our sales in the United  States we now are really seeing the play ofthe geographic diversification.  So, latecycle we would have to ask you where.
Operator: (Operator Instructions) Matt Summerville with KeyBanc hasthe next question.
Matt Summerville –KeyBanc Capital Markets: Can you give a little more granularity in terms of the coreorder activities son advance tech between Asymtek and EFD and then maybe justtalk about the other core businesses in the division and how they’reperforming.
Edward P. Campbell: I’m not going to go through each one of the businesses.  We normally would not get down to that levelof detail but I have shared with folks on these calls that the center of ourweakness that we had seen earlier in calendar 2007 had been in products –Asymtek branded products.  I tell youthat among the various businesses and core advance tech right now our strengthis at Asymtek.  The things that we hadexpected to see getting stronger as we came into 2008 we’re seeing themanifestation of that in the order book now.
Matt Summerville –KeyBanc Capital Markets: Based on discussions you’re having with customers insemiconductor how much visibility would you say you have into fiscal 08 at thispoint?
Edward P. Campbell: It varies to a great extent by customer.  We have some customer where we work veryclosely with them in terms of their roadmaps and they with ours.  We do have the benefit of having justreleased a brand new major product line within the Asymtek product linefamily.  We introduced that at a majorelectronics and semiconductor equipment show in Europe just a few weeks ago[Prototonica] and the introduction of that product line couple with theunderstanding of our technology roadmap, if you will, sometimes can bothproduce demand after its release and it can adversely affect demand before itsrelease among those customers that see our roadmap and understand where we’reheaded. We feel optimistic about the fact that we’re now in aposition to begin to sell systems at higher performance and greaterproductivity for our customers.  Thatgives us the belief and the sense we’ve been talking about for quite some timethat we expect 2008 to be better than 2007 and correspondingly I’ll continue toreiterate that we believe 2009, directionally, is going to be better than2008.  We think that the ramp that wewould hope that you’re going to see and hope is the wrong word but, it is whatwe expect to see moving forward is going to continue to have legs that extendsinto 2009.
Matt Summerville –KeyBanc Capital Markets: In terms of your order bookings as of late what does thattranslate into from a mix standpoint in the first quarter?  You’re talking about 20 to 25% total revenuegrowth and if you look at what you did last year in Q1 I think it was $0.46 butthat had $0.03 of inventory step so maybe the right base to think about is morelike $0.49?  Help me understand thedifferent dynamics that are playing into your EPS forecast versus revenuegrowth.
Edward P. Campbell: I don’t think there’s a lot of complexity that goes on withthis quarter it is just straight volume both from the continuing first two yearaffects of acquisitions but, also we’re talking about core volume businessesthat we had last year.  Again, this yearwithout any acquisition affects that are at levels we have not seen since Ibelieve 2006.  That simply flows rightthrough the P&L.  I don’t think thereare any unusual items that would make this different.  I will comment though on the first quarterlast year we had relatively weak volume and as a result there was a greatproportion of our sales last year that were spare parts as compared to systems.  As a result the gross margins that we wouldexpect to see in the first quarter of 2008 is going to be lower the 56% rangethat I mentioned in my comments compared to last years 57.7%.
Matt Summerville –KeyBanc Capital Markets: That’s exactly what I was trying to understand.
Edward P. Campbell: It’s the parts versus systems but also it’s the mix of somenew businesses.  Some of the businessesthat we’ve acquired do not have the gross margin as we do in some of Nordson’shistorically strong margin businesses like our adhesive systems.
Operator: Your next question comes from the line of John Franzreb with Sidoti & Company.
John Franzreb -Sidoti & Company: I was just wondering if you could kind of talk a bit aboutthe competitive landscape in the three segments what are you seeing from thecompetition today?
Edward P. Campbell: In the adhesive segment I would say nothing that is noteworthy from what we’ve seen historically. Nordson is blessed with historical strong market positions.  We tend to compete with a series of privatecompanies that have particular strengths in certain geographic regions.  We have a couple of global competitors.  Generally our competitors try to compete onthe basis of either low price or trying to sell competitive spare parts andthat’s a fair stable set of relationships.  In our industrial coating and automotivesegment I would again say there was nothing new from what we see.  Within powder the largest piece of thatbusiness we have a couple of global competitors that operate with areas ofgeographic strength that are different from ours.  We have very strong positions in portions of Europebut weakness in others.  Strong NorthAmerican positions.  Strong Asianpositions.  We are enjoying the kind ofgrowth that I mentioned in Asia as a result of thosepositions.  In the advanced technologiesmarkets obviously we have a number of diverse product lines that sell intodifferent pieces of market segments. Again, as I’m just going through the list mentally I can’t think ofanything that is different if you will from what we’ve seen in the past.
John Franzreb -Sidoti & Company: Can you discuss a little bit about commodity costs asthey’ve kind of come in – in recent months and the competitive factors?  You seemed to have at best you’ve held you’releading shares.  How come you’re notgetting a better margin benefit?
Edward P. Campbell: Yeah.  First of allyou should remember that our margin is adversely influenced in all of thesecomparisons to 2006 because of the acquisition accounting which between theamortization of acquisition intangibles as well as the inventory affects itcost us about $0.21 per share to what would otherwise be historical costaccounting of the acquired companies and our existing companies lessinterest.
John Franzreb -Sidoti & Company: Right.
Edward P. Campbell: I’m not sure I understand exactly what you’re trying to getat?
John Franzreb -Sidoti & Company: I was just thinking about that 56 gross margin.  You have currency in your favor, it seemslike the landscape is good and you have lower raw materials costs.  I would have thought it would have been alittle bit higher.  Maybe I’m missingsomething?
Edward P. Campbell: The big issue was a year ago we had a very weak quarter asyou will recall.  The relative volume ofour spare parts tends to be consistent. So, the mix in last year’s first quarter compared to this year’s firstquarter is quite different in that what’s going on this year is a major driveof systems through the P&L and they would average down the spareparts.  Frankly, it’s a function of howour businesses are performing strongly this year compared to last year.  For example, if you compare any first quarterof Nordson to any fourth quarter you’ll always see a low gross margin in thefourth quarter and always a high gross margin in the first quarter because ofthat mix between systems and parts. The other issue you asked about was commodity pricing andcommodity pricing is a very small issue for Nordson and frankly the successthat we’ve had in resourcing many of our assemblies and component parts fromlow cost countries from relatively expensive western European and NorthAmerican centers our average cost of purchased materials has gone down ratherthan gone up more than offset commodity cost inflation.
John Franzreb: A little bit of your thoughts about paying down thedebt?  What’s your scheduling and whatare your thoughts of finishing the year end 08 at what kind of debt level?
Peter S. Hellman: Well we haven’t made a full year cash flow forecast so Ithink a majority of free cash flow will be used absent any potential foradditional acquisitions will go to pay down debt.  Historically our annual cash flow and I’m notmaking a forecast is in order of a magnitude of $100 million and we’ll have tosee how the year unfolds with other opportunities.  But absent those opportunities it would go topay debt which is all at a floating rate basis under a term commitment that werenegotiated during the year.
Operator: There are no further questions at this time.
Edward P. Campbell: Let me do a couple of things.  First of all let me take note of the factthat we’ve enjoyed the benefit of Peter Hellman on this call as we have for allof our calls for the last eight years and as we’ve discussed on some of thesecalls in the past and you’ve seen in our announcements that Peter will beretiring from Nordson at the end of the calendar year.  I just wanted to take this moment torecognize and thank Peter.  I know all ofyou on the call have had the opportunity to work with him and seen the value ofhis contribution to this organization. He’s left us with a good organization beneath and Greg Thaxton will bestepping into his shoes.  But, regardlessof the talent of the team we’re going to miss Peter on a professional andpersonal basis and I wanted to just thank him here to this group today. Secondly, let me thank all of you for your interesting andattention.  We look forward to continuingthese conversations as we go through the quarter.  Thanks again. Bye-bye.
Operator: This concludes today’s conference call.  You may now disconnect.